Operator: Good day, my name is Jack and I will be your conference facilitator today. At this time, I would like to welcome everyone to the Check Point Software Technology’s Fourth Quarter 2005 Financial Results Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers remark, there will be a question and answer period. If you would like to ask a question during that time please press “*” then the “1” on you telephone keypad. If you would like to withdraw your question press the “#”. Thank you. It is now my pleasure to turn the floor over to Anne Marie McCauley. Ma’am you may begin your conference.
Anne Marie McCauley, Director of Investor Relations: Thank you, Jackie. Good morning and afternoon. I am Anne Marie McCauley, Director of Investor Relations for Checkpoint Software. Thank you for joining us to discuss the fourth quarter and annual 2005 results. As a reminder, this call is being webcast live from our website and is being recorded. To access the live webcast and replay information, please visit the company’s website at checkpoint.com/ir. The replay will be available till February 13. If you would like to reach us after the call, please contact the Investor Relations department at 650-628-2050. On the call with me today is Gil Shwed, Chairman and CEO, Jerry Ungerman, Vice Chairman and Eyal Desheh, Executive Vice President and CFO. Before we start our management presentation, I would like to read the following disclaimer. During the course of this call, the company will make certain forward-looking statements regarding our expectations for the revenue and EPS in the future, specifically as pertained for Q1 of 2006 and in general as the pertain for 2006, and our continued specific success as a provider of security position. Other statements which maybe made in response to questions, which refer to our beliefs, plans, expectations or intensions are also forward-looking statements with the Safe Harbor provided by the Securities Litigation Reform Act. Because such statement deals future events, actual results could differ materially from the company’s current expectations. Factors that could cause or contribute such differences include but are not limited to, the impact on revenues of economic and critical uncertainties, the impact of critical changes and weaknesses in various regions of the world, including the commencement or escalation of our facilities or acts of terrorism. The inclusion of network security functionality in third-party hardware or system software; any unforeseen developmental or technological difficulties with regard to Check Point’s products, changes in the competitive landscape, including new competitors or the impact of competitive pricing and products. A shift in demand for products such as Check Point’s and then factors affecting third parties with which Check Point has formed business alliances, timely availability and customer acceptance of Check Point’s new and existing products including NGX safe products. The parties’ ability to consummate the Sourcefire transaction, including the ability of the parties to secure the CFIUS approval required for the transaction on the terms expected or on the anticipated schedule, if at all. Unanticipated expenses associated with the Sourcefire acquisition; the possibility that Check Point may be unable to achieve all of the benefits of the acquisition within the expected timeframes or at all and to successfully integrate Sourcefire’s operations and technology into those of Check Point. Operating costs, customer loss and business disruption, including, without limitation, difficulties in maintaining relationships with employees, customers, clients or suppliers may be greater than expected following the Sourcefire acquisition; and other factors and risks discussed in Check Point’s Report on Form 20-F for the year ended December 31, 2004, which is on file with the Securities and Exchange Commission. Check Point assumes no obligation to update information concerning its expectations. Now let me turn the call over to Eyal Desheh for financial review.
Eyal Desheh, Executive Vice President and Chief Financial Officer: Thank you, Anne Marie. Good morning and afternoon everyone. Let me share with you the results of the quarter end of year and provide some more details on the finance. The fourth quarter of March was sound finish to good 2005. We have posted a number of record results during the first quarter including the highest quarterly revenue, highest net income and earnings per share, cash and investment balance and differed revenues balance and growth. The key drivers for our fourth quarter performance was strong sales of subscription and services, nice growth in our product and solution specially small defense, work security products and VPN-1 Edge for more size protection, where an impressive number of orders larger than $0.5 million most of them combining product subscription and support. Let me share with you the financial highlights for those the fourth quarter and 2005. Revenues fort the fourth quarter were $156 million compared to $143 million in the fourth quarter of 2004, an increase of 9%. Fourth quarter revenues represent an increase of 11% over third quarter revenues, with product and license revenue of increasing 20% sequentially. Net income for the fourth quarter of 2005 was $89 million an increase of 17% compared to $76 million in Q4 last year. Net income excluding acquisition related charges were $91 million and increase of 15% compared to 79 million in the fourth quarter of 2004. Earning per diluted share for the fourth quarter of 2005 was $0.36 an increase of 21% compared to $0.30 last year. Excluding acquisition related charges, EPS were $0.37, an increase of 20% compared $0.31 in the first quarter of 2004. Deferred revenue this quarter were $169 million an increase of 25 million or 17% over the third quarter of 2004. This is the result of many annuity-based deals for subscription support and consumer products. All these drivers are also the highest in our history. Operating expenses excluding acquisition related charge include sequentially by $3 million to 61 million for the quarter similar to Q4 last year. Several operating income excluding acquisition related charges increased to $95 million from $83 million in the first quarter of 2004. As a result, operating margin increased to 61% from 58% last year. Our effective income tax rate was stable at 17%. Cash collection continued to be good for the first quarter our day sales DSO were 63 days compared to 54 days in the first quarter of last year as the quarter was backend loaded. We again generated strong cash flow from operating activities of $81 million. Also, our cash and investment balance at the end of the quarter was over $1.7 billion. During the fourth quarter, we purchased 1.25 million shares for total cost of roughly $28 million as part of our share repurchase program. This brought the share purchased in 2005 to 10.6 million shares for total cost of $237 million. Our fourth quarter revenue was well diversified; with the America leading away contributed 47% of revenue. EMEA contributed 41% and Asia Pacific and Japan region contributed 12% to our revenues this quarter. In the fourth quarter our large orders which are greater than $50,000 accounted to roughly 29% of our orders. We also had good growth in our install base bringing certain to total to over 460,000 security gateways. Now let’s go to 2005 annual financial highlights. For the year ended December 31, 2005 revenues were $579 million compared to $515 million for the year ended December 31, 2004 an increase of 12%. Net income for 2005 were $320 million, an increase of 29% compared to $248 million for the year ended 2004. Net income excluding acquisition related charges were $327 million, an increase of 17% compared to $279 million for 2004. We delivered 21% increase in our annual earnings per share, which excluding acquisition related charges totaled $1.30. Including acquisition related charges earnings per share was $1.27, an increase of 33% over 2004. In summary, the fourth quarter results kept a strong finish to good 2005, with record quarterly revenues, differed revenues, profit and cash and investment balances. Now Jerry and Gil will speak more about the business and our strategy. Jerry, please go ahead.
Jerry Ungerman, Vice Chairman: Thank you, Eyal and hello everyone. It’s good to be with you again today, to discuss Check Point’s business results this past quarter and highlight our achievements in 2005. During the fourth quarter, we again introduced new products and technologies across the various security segments we addressed, to our expanding portfolio of security solutions. A few highlights include we strengthened our internal security offering with InterSpect, NGX and look forward to further benefit through our proposed agreement to acquire Sourcefire. We enhanced our enterprise endpoint solutions Integrity, with the addition of Anti-Spyware capability and we advanced our Unified Threat Management Solutions, with small business market, with new Safe@Office 500 appliance. We have received very positive feedback from both our partners and customers, as they look at the newly combined technologies and realized the resulting level of security we can provide them. They proceed this combination to give them the level of security they need to protect their network infrastructure, and something not available from any other hardware or software security company. Now our customers are able to approximately deploy a multilayer security architecture, that’s easy to manage and provide the highest level of security. This is also valid to our partners, as it improves their solution set and capability, to meet the needs of their customers. In Q4, our emerging products again contributed 30%of new business, Connectra had nice Q4 growth and sales for the full year 2005 increased by over 250%. VPN-1 Edge was a notable emerging products contributed in the fourth quarter. And we had another quarter of strong demand for our smart defense services. We have realized except across the all geographies quarter, with both current customers, as well as new customers. Most are realizing the power having single security architecture with centralized management, affecting the most important elements for network, and doing so as an independent security layer, but they can acquire software and deploy in open servers, OS part of the integrated hardware solution. In 2005, we made major strides to transform our vision of the unified security architecture into a reality. A corner stone in this transmission came with the launch of the NGX platform. With this major upgrade to our core technology, our security solutions are integrating and can be easily extended to adapt to new and evolving security threats. This is unique in our market and not a capability being provided by others. Let me share with you a few common themes that arise in my mind, with partners and customers. The security threat environment is comprised of known threats and unknown and unpredictable threats. And this ever changing and evolving environment, it is mandatory that security solutions are dynamic that successfully combat threats. The importance of having independent security layer is recognized by our customers and partners and what they tell us and more importantly in their purchasing decisions. The value of an integrated security solution that could be managed across a unified architecture from a simple console is resonating with our customers. And this customer acceptance of our strategic vision is feeling the growth in our subscription revenues and deferred revenues. The second business driver we saw emerging our successful Q4 results an increase in number of customers who purchased the entire product portfolio or a broadest set of our security solutions was to just buying a primitive firewall and VPN. We view this is a commitment to Check Point and our newest technologies. In summary, we continued our focus this quarter meeting the needs of our customers by providing them with the most of secure solutions at the best Total Cost of Ownership, and by giving them choice on how and where to deploy the technology, and to ensure this is a network infrastructure they have which may contain the down security capability is truly secured. Thank you for listening and now let me turn the call over to Gil.
Gil Shwed, Chairman and Chief Executive Officer: Thank you Jerry and good morning everyone. Q4 was a strong quarter and a good finish for the year 2005. When the IT environment remains challenging, I am very pleased with the result to report it today. We are generating healthy business, as you can see for record quarterly results in revenue, deferred revenues and profit. As Jerry mentioned earlier, even more important or the biggest driver behind our results, these drivers includes customer acceptance across strategic region in the growth reduction of our product portfolio, both of which gives us confidence, as we are gaining traction within the market for security solutions as we head into 2006. 2005 was the year of both solid financial performance and expensive product and technology advancement in our security solutions. The result is as we go to market today, with the most comprehensive and integrated set of security solutions designed to help our customers addressed both the known and constantly changing security threat environment. 2 years ago we embarked in implementing our vision of the unified security architecture. Phase I was all about expansion in 2004, we expanded beyond the enterprise service market adding solutions to meet internal web and endpoint security needs. Its one of software ends which expand from the very high end all the way for the consumer market. Phase II focused on unification, I just mentioned 2005 revolved around creating the unified security architecture, with the introduction of the NGX platform and the corresponding Integrity product version. All of which come together for a unique centralized management solutions. Phase III which we call universal applicability will focus on providing refined solution for the latest known and unknown security front. So they viewed capability, existing our small defense service, and now that we focus in 2006 is to extend re-capability across our solutions portfolio. We are probably also interested in our forecast for 2006, so I’d like to share some of our target thinking and projection for the year. We organized the general market condition, our internal phase projection and additional factor like our up coming Sourcefire provision. Of course, you do have to remember that predicting the future always results high level of uncertainty. Based on all these analysis, we arrive to an anticipated midpoint revenue growth rate of approximately 14% for 2006. This translates to our target revenue of approximately $661 million. The actual range can vary by plus or minus 5% for this number, depending on business conditions. Obviously, with the changes in the marketplace and expectations can also well work and we divide market climate and execution; it can be always higher. Based on historical trends in recent years, the first quarter has contributed between, 21% to 24% of our annual sales target, we believe that the good range for this year would be 22% to23.5% of our, of the annual target. This translates to a range of a $145 million to $155 million in revenues which we believe gives the reasonable target for the first quarter. Our earnings per share projection for the year 2006 excluding the acquisition related charges and stock-based compensation is expected to be in the range of $1.40 to $1.47 per share. For the first quarter, it is expected to be in the range of $0.32 to $0.34. With the stock-based compensation charges and acquisition related charges from half acquisition, EPS is expected to be $0.05+ for the quarter, and approximately $0.22 lower for the full year, we don’t have the, here the impacts of over their acquisition related charges from the pending Sourcefire acquisition, all the other Sourcefire numbers are factored in the range we gave and then especially with regard to the first quarter they provide the small contribution and high variance because of the unknown a closer disclose rate of pending acquisition. To summarize my part, we had very good result in 2005, we set record level in most financial measurement and we are focused on continuing to provide good and healthy business results in 2006. With that, I’d like to thank you again for joining us on the call today and open it up for questions.
Operator: At this time I’d like to remind everyone if you would like to ask a question press “*” then the “1” on your telephone keypad. We’ll pause for just a moment to compile the Q&A roster. Your first question is coming from Jonathan Ruykhaver of Raymond James and Associates.
Q - Jonathan Ruykhaver: Hi, good morning just to clarify the full year revenue guidance, if that includes the Sourcefire acquisition? Hello?
A - Jerry Ungerman: Sure.
A - Gil Shwed: Yeah.
Q - Jonathan Ruykhaver: And would you accept that deal to close again?
A - Gil Shwed: It’s very hard to predict, we expect it to close anywhere from 2 weeks to 2 months.
Q - Jonathan Ruykhaver: Okay, so before the end of this quarter, probably?
A - Gil Shwed: It’s hard to state; we’d like to be before the end of that quarter, but it maybe after.
Q - Jonathan Ruykhaver: Early in the second quarter, okay. Just, I would like to see if you could get some more color on subscription revenues, I know the growth was quite healthy, but you have seen some decelerating growth over the few quarters in 2005, is that reflect of it or it sort of, just marked take your comment, suggested it is at least try to get a feel. Why that it would be so rational, what we should expect in 2006?
A - Gil Shwed: I think we saw both very healthy and smart defense, turning out to be one of our better innovations and very good revenue sources and that right now does appear mostly in the subscription line, it also means that customers are in subscribing more and more and they won’t power upgrade, they won’t update, keep in mind that we did finish the transition that we saw in about 2 years ago from a old programs to a new programs and most customers are now paid their upgrade fees and update fees and they are now more and more in full software subscription which helps driving the software subscription line.
Q - Jonathan Ruykhaver: Great. Looking at the growth in the December quarter do you think that’s a type of growth we should expect in 2006?
A - Gil Shwed: Very high to say and again I don’t know that we have all the modeling assumptions here but I think if we are looking for a, as far as healthy growth in many business factors across 2006.
Q - Jonathan Ruykhaver: Okay, thanks.
Operator: Thank you your next question is from Vick Kaura of Unterberg Towbin.
Q - Vikram Kaura: Thanks good morning everyone. Just going back to the question on subscription did you see any more last longer term deals than usual?
A - Eyal Desheh: No.
A - Gil Shwed: Not really. Mostly, most of our subscription is 1 year, where a few customers do out for 2 year, 3 year subscription but they doesn’t have substantial or significant impact there deferred revenue or any offers they mentioned.
Q - Vikram Kaura: Are you even considering longer term subscriptions perhaps for the consumer side McAfee has announcing such an option this morning?
A - Gil Shwed: Yeah, we do have other options but the majority of our customers are buying the subscription and the maintenance plans for 12 months. That’s the majority; we do have two year and three year plan. But most people go for 12 months.
Q - Vikram Kaura: Okay one final question, the sales and marketing line considerable leverage, Eyal is that leverage sustainable how should we think about that going forward?
A - Eyal Desheh: Well, in 2006, part of our plan is to invest more money in marketing and sales. But we continue our leverage model. We will leverage our channel we have over 2000channel partners with 1000 of sales. Our people carrying our products and that’s the major leverage that our business model provide.
Q - Vikram Kaura: You know as the revenue shifts in subscription is that a key underlying factor for our continuation on this leverage?
A - Gil Shwed: I think its still all of that is related I mean our channel sales subscription we also sell new product, and our challenge is to grow as they look though. But I think some more and more subscription means that a little bit more stability we will think in excess for little bit more long-term but still for our business comes from new deal sales every quarter. And we still have to do more of a new deal sale; keep in mind the channel does that as well.
Q - Vikram Kaura: All right thank you very much.
Operator: Thank you, your next question is from Phil Winslow of Credit Suisse.
Q - Phil Winslow: Hi guys just have a collections, first just Eyal, if you could give us a sense maybe just sort of what your expectations are for the conventional Sourcefire for ’06? Is that changed at all from our, recovery effect and couple of months ago when you all acquired them?
A - Eyal Desheh: Yeah, as we said as just earlier it depends on the acquisition, on the acquisition date and of course from that date on, there is a very long future, so the timing, was determined how much this is going to contribute we five member currently when we did the announcement was that its above 6% of our gross per year will be contributed by Sourcefire deal. But that accounted that we’ll close the deals very early in January, it might be a little less than that and that is where we gave such range, because we can’t really expect of these exactly and precisely.
Q - Phil Winslow: Okay, great.
A - Eyal Desheh: Most probably when we close the deal or announce a deal it will be smarter in terms of how to measure this.
Q - Phil Winslow: Great, and then also when you look at the current quarter, Gil, I was wondering if you just give us some kind of just a competitive environment Eyal said and just sort of, from macro perspective, maybe are you saying a thing changing just a perimeter market?
A - Gil Shwed: I’ll tried to answer a bit and then we’ll also give Jerry a chance to give his views, first from the competitive environments, we are in the market that there is a lot of competitor, I think very competitive but we actually see a strength in our relative competitive positioning some old competitor is that we are seeing less and less, it doesn’t mean that they won’t try, doesn’t mean that they won’t compete but, but we are seeing less and lesser impact of large competitors and we aren’t seeing, bit many or many or even at all major new competitors emerging. Actually, we don’t want to look around or not many small or mid-size company that’s all becoming a bigger factors that they were before in the marketplace. So overall we are very pleased with there competitive environment even anecdotally a new space better than I do, results of the other companies in security space from the last week show that we are doing as well or even better than others. As well as the overall IT environment, I don’t think this have good environment when people are buying and they are willing spend but I don’t see an environment that right now in any kind of rush to spend their money or anything like that. Customer have recalled us, they have the long-term plans but there is no way rush from customers to over invest or to invest even more than from my standpoint the second half 2005 and I think I’d share it to be for enough thing here, with the change of the new beyond the factors we had very strong industry better than I expected but the second half ’05 it didn’t show the signs of growth as I was expecting for in the overall IT environment as I said our yearend was pretty good and better than was I expected in Q4. Jerry, I would like you want to comment more from your discussions with partners and customers on different competitive environment.
A - Jerry Ungerman: No, you are very consistent in it. What I hear from customers all the time, I spend a lot of time with them, is a really value and independent security layer, it really value with the proposition with Check Point brings a unified security architecture, a single management console. And we saw many large transactions and significant transactions that were competitors where they are in the process now that they consider Firewall VPN brand are now, they are starting to display other installed all the technology to take advantage of our broader security solution set all managed centrally. And I can see it in the results of other companies; I can see it in the activities and I can see it in that close rate. But I think we did very well on the competitive front across all these different security segments we’re in, so I’m pleased with where we are and I think the customers really value the proposition that we are bringing to them, the choice we given and the level of security they get, through this single management console on the unified security architecture. So I think we are very well positioned going forward.
Q - Phil Winslow: All right thanks guys.
Operator:
Operator Instruction: Your next question is from Sean Jackson of Avondale Partners.
Q - Sean Jackson: Yeah, guys you mentioned that you sold a broader set of solutions during the quarters any metrics that you can share or back that up?
A - Gil Shwed: Well I think Jerry said, one metric was I mean, Jerry shared is that our emerging products categories now 40% of new product sales. And which is pretty good but then the other factor that we have mainly on console, we on the like large deals, we are on the like advertise of deal and we saw more and more deals when customers not just buying the emerging products that they buy a multi-products deal. We had several multimillion dollar deals and some of them are even multi-year contract throughout the year and towards yearend which revolves around and higher Check Point architecture another interesting deal that we had restored end of December 3, I mean was actually beginning this December, but was the year deal which wasn’t even forecasted this was over a $1 million of product, the same customer actually at the beginning of January this would have another million dollar for another completely different set of products from us, to began a good indication of customers buying into that region. From in wither just anecdote and the metric that shows that.
Q - Sean Jackson: Okay, was there any average deal size metric that you can share that you have that will compare it to previous quarter?
A - Gil Shwead: Not just we can quarter, I didn’t but its reality is pretty hard to talk about average deal size because most of our orders are relatively small $2,000 involved renewal of subscription or a single addition of product, some deals like the 29% of deals over $50,000 are which we called large deals or I think deals which involves not just a single or a two or three products update or two or three product subscription that involved more complicated scenario and we also add many, many deals with over $0.5 million, we did underline all deals and nicely they were most of them, the vast majority of them involve different products and multiple products.
Q - Sean Jackson: Okay and also just on the again contribution from Sourcefire point with that a little bit in ’06. You didn’t mention I think in the October the numbers were something like $40 million to $50 million, in revenue in ’06 I know there has been fresh with deals been delayed a little bit as for as the closing of it but, we just see a run-rate of that $40 million to $50million as we go through ’06?
A - Gil Shwed: I think in the future, the answer is, the sort answer is, yes, but I think first in the future and alternative for going to breakout Sourcefire. The contribution for ’06 we deal over most because of the translation of the run rate and booking into revenues which maybe slightly difference than previous numbers or previous number again I don’t know which financial metric they were quoted. But the run rate of Sourcefire is pretty healthy and I think that we are, so far we are very happy with the decision which we made when we are announced that in October.
Q - Sean Jackson: Okay all right thank you.
A - Gil Shwed: Contribution in ’06 is going to be much less than the $40 million number both because of the number of quarter and the timing of that and also again I don’t know when we see them fully on the light as once we close the deal and we have all the detail number but how would there booking run-rate or sales run-rate would get translated into revenues.
Q - Sean Jackson: Thank you.
Operator: Thank you, your next question is from William Becklean of Oppenheimer.
Q - Priya Parasuraman: Thanks this is actually Priya Parasuraman for Bill. I was wondering if you could talk a little bit about your partnership with D-Link and also how the products of that partnership would differ from your, I mean other UTM offering is that safest offer?
A - Gil Shwed: We’ve announced earlier this month the new and what we hope is important sign for new types of deals for small business as D-Link. And this seems for the clients that D-Link will deal but does involves our technology and that many difference options this effect is similar in many aspects well our Safe@Office products. But D-Link is obviously a leader and important company in the small business market and had the lot of channels there and a lot of access to small business. So we hope that such partnership with hardware vendor than we’ve partnered we’ve reached the channel we have positive impacts, its too early to say, we’ve just launch the deal as I said few weeks ago, and as I said that is very similar our Safe@Office appliance and, there is not I don’t know specifically technically what are the different sets and speeds and so on. But it is on the same basic architecture and the same basic concepts base which was reflected in to the market.
Q - Priya Parasuraman: Thank you.
Operator: Thank you, your next question is from Chris Russ of Wachovia Securities.
Q - Christopher Russ: Yes, hi good morning good afternoon. Regarding some of the emerging products you mentioned I think Connectra was up250%, what about InterSpect, how does that doing, how that doing in the quarter?
A - Gil Shwed: InterSpect is doing okay, not showing the same percentage we also say Connectra this year, with InterSpect we have the every quarter we have few breakthroughs in terms of the which channels which countries which places as we sell into. We’ve also to keep in mind, that because of the acquisition of Sourcefire that as people are now reviewing and actually raising their clients to do business with us. But the lot of the Sourcefire deal is expected to affect the InterSpect business. Hopefully in a very positive way, because I think these are products they compliment each other, but that’s one of the elements that occur straightening right now with the Sourcefire deal.
Q - Christopher Russ: Okay Gil, and related to that I mean I know the deal has not yet closed but wondering if, either at the Analysts Day Conference or at some point in the near term Check Point is going to sort of announce its product road map and strategy for the Sourcefire integration, other words were Sourcefire displace InterSpect, do you think or Sourcefire become a technology that’s embedded within the NGX platform or because of the standalone IDP clients.
A - Gil Shwed: I thin almost all of the above I don’t think the Sourcefire will replace InterSpect but we are going to integrate the products we are going to create different sets of functions and features based on the and based on the different set strength of the different product and we are going to integrate some of the Sourcefire technology in the general carrying methods of security products from Check Point. And we will announce integration plan in the roadmap but it will be get done only after we close the deal and when we fully ready to give customers they are right to answer the, with the right work to integration.
Q - Christopher Russ: Okay, okay great. And finally just the 40 to 50 million run-rate for Sourcefire you mention though that the revenue that you recognize would be substantially below $40 million. Again that’s influence by the timing of when the deal closed but also revenue recognition issues and they would how much for that below 40 million. Could it be something like 20 or 30 million, just trying to get, I get a sense for how much Sourcefire is contributing to that, $661 million number, that you talked about the in the other call?
A - Gil Shwed: I don’t know, I don’t know if I have this number but, and again once we close the deal, we do better. The range of 20 to 40 probably the right range.
Q - Christopher Russ: 20 to 40 okay, thank you very much.
A - Gil Shwed: As for as the large companies following the more in the middle of that range, but inside the area is good as we though.
Operator: Thank you, your next question is from Sterling Auty of JP Morgan.
Q - Sterling Auty: Thanks I just wonder you did the Sourcefire for the March quarter, when you gave the guidance for the March quarter; have you included the idea that you are close and what kind of revenue are you expecting, because you did leave open the IT of that, maybe it closes on the June quarter?
A - Eyal Desheh: Yeah Sterling, there is all low revenue assumption in Q1, on the Sourcefire deal and as we said before, its very much depended on the timing on the closing and on the type of bookings that we will have laid back and, so now allow this factor into Q1 right now. We will see when we close and that will be smarter about the numbers.
Q - Sterling Auty: Okay, so it’s similarly like when you acquire Zone where you had just a couple of million in the quarters, what you are saying?
A - Eyal Desheh: Yeah I hope so, I already able to close this as soon as possible and, get on that is all, our plan. But right now we’re waiting.
Q - Sterling Auty: Okay and then just one last one. You know you mentioned that the quarter is backend loaded I think we all know October and November sluggish had a big up-tick here in December, but as you started into the beginning of 2006, what’s kind of the momentum or what’s the discussion are you hearing out of the channel in terms of, appetite in demand for the type of solutions that Check Point has now?
A - Eyal Desheh: Jerry will you take….
A - Jerry Ungerman: Continuing on serving I think the channel is very busy, very active there is a lot going on I think there is momentum out there. I think as Gil said, we haven’t got back to a free spending environment, its still challenging everybody has been question on the need, the requirement but the activity is there. It’s very pleasing we got a very enthusiastic positive channel right now. Its busy it has ever been. On that as surpass to it broader security set I think it’s a very good, I know most of these channels expert they like having those broader solutions that after the single, Security Council that resonating very well with the customers. So they think they are activities hurry up and they are giving into new areas and different areas when they really ever sold before. Integrity is new area, selling to the best out of them and giving into the new SSL VPN are connected that very well just last year, we see a lot of activity in that particular market we are doing well. So I think we are going to see a good 2006.
Q - Sterling Auty: Okay. Thank you.
A - Gil Shwed: Maybe I would I can add one story to the one flavor to that. Could you finish our sales people for our sales force well wide we did one for Europe, one for the Americas and the positive with regard from our sales people was extremely positive as I did strength and potential for both Integrity and Connectra, and many, many other things that like these two but these are two which they pointed out promising product I think overall that seem its regard from our sales force and their enthusiasm was very high. And it’s not like less every year. I mean sometimes the sales force is much more controversy than have a lots of question and lots of challenges right now and we did this whole this year, many, many workgroup meetings and one-on-one meetings to assess the field perspective in the field and the field feeling about the year. Because at the end of the day that’s the best recover we have to, to understand what we needs to better into predict the results and their feedback was very, very positive from the soft side, we are feeling, of the feel under product and product traction was where you see.
Q - Sterling Auty: Thank you.
Operator: Thank you, your next question from Chris Hovis of Morgan Keegan.
Q - Chris Hovis: Hi, good morning and afternoon guys, couple of questions for you, one with regards to Integrity which Jerry mentioned. We have also picked up high level of interest, build around this product. But had some questions around whether the lack of standards from Cisco and Microsoft agreement around network initiative would fall in that. Are likely delays, adoption of Integrity this year?
A - Gil Shwed: I think with the Integrity of the permanent cycle and same cycle tend to be very long, very, very long year even, and one of the reason is that we implement dedicate this growth to all desktops in the company, it’s a very long size and very long decisions for large companies when the main, as the main set of customers are ready large account. And now about the decent through Microsoft and Cisco well setting the big difference between the Check Point is willing and 6 for an hour. Many of these vendors sales about future standards, future sanctions future things that don’t exist, we sell the leasing product but the sale today and work today invested very big difference so I don’t think that these products have launching box in our deployment cycle but I do know that our deployment cycle and sales cycle were pretty long, well Jerry if you want to add to that anything.
A - Jerry Ungerman: I agree. It’s absolutely what we see in the marketplace.
Q - Chris Hovis: So I guess based on what you’re hearing, or what you’re saying eventually you get some benefit from the longer time, Cisco and Check Point, I’m sorry Cisco and Microsoft, like to pull out.
A - Jerry Ungerman: Well I feel that Chris, based worry about what those 2 companies are doing. I don’t think they would in factor in from their capability pulling our technology and protecting out desktops but 1000s of customers are doing it already.
Q - Chris Hovis: Okay.
A - Jerry Ungerman: They are waiting for any, Microsoft and Cisco are talking about that, so that’s how we already for the most part that’s not going to give anybody from deploying an endpoint security solution that’s fully integrated and operational within their environment.
Q - Chris Hovis: All right and thanks and the second question just from a vertical industry perspective any particular verticals we see spending out with regards to demand as a metric issue?
A - Jerry Ungerman: Not really. No I think it was still doing well across all of them, I know we’ve been very, very broad in our approach and very successful in demands over the government with manufacturing retail, et cetera and there’s still very wide spread.
Q - Chris Hovis: All right thanks, best of luck.
A - Jerry Ungerman: Thanks Chris.
Operator: Thank you. Your next question is from Ehud Eisenstein of Oscar Gruss.
Q - Ehud Eisenstein: Yes. Hi, thank you guys. Two questions, one if you can just comment on the SSL VPN environment, couple of your competitors has quite a challenging resource and second is that Jerry if you can just give us some more color in the numbers of the channels that you added 2005 versus last year, thank you.
A - Gil Shwed: I don’t know that I’ve got an exact number of the channel that we’ve added and…
Q - Ehud Eisenstein: Just that’s the general color.
A - Gil Shwed: Pardon me?
Q - Ehud Eisenstein: Just that general idea.
A - Gil Shwed: Yeah now, we can generally to grow and to the channel as usually by geographies or market segments or supplies segment but I’m very pleased with the strength and the growth in our channel and a coverage that we’re getting as we approach new market, for new market segment, there is some consolidation going in the channel we see that all the time, we’ve seen it for years now. And I think it’s our strength so that we continue to add more product to them but more pleased on the more successful there with abilities that generate revenue on margin and serves our customers in a broader stance from ad with their service revenue with the value that they bring with the table. So that was a good strength to share, I missed the first part of the question now, we got off…
Q - Ehud Eisenstein: Just on the channel can you elaborate on China?
A - Gil Shwed: Yeah, we have I think we’ve discussed in particular this quarter that we’re undergoing a change there and improvements that are beefing up of our full management structure in the Asia-Pacific region, we created two regions out of one with our two Vice Presidents in place, accretive to North Asia, South Asia and we’re seeing very good traction build up for the early stages right now trying to really get the right management structure, infrastructure and partnerships in place in both North Asia and South Asia.
Q - Ehud Eisenstein: Okay, thanks.
A - Gil Shwed: And pulled that out during 2006.
A - Eyal Desheh: The answer about SSL VPN buy, we’ve mentioned before that the product line to Web-security product line is growing to 150% this year so as this a nice growing area still not achieved by the thing we’re doing probably, growing probably among the fastest in the industry if not the fastest.
Q - Ehud Eisenstein: That’s exactly my question, talk about few competitors had modest growth there is, do you believe you taking share there?
A - Gil Shwed: Look Ehud, we will be taking share with the month of growth between us compared to what we hear from others, I do think with this market, say, 2 years ago people saw this effect running to be a user market, it sounds out to be a good healthy markets but the overall market it doesn’t show, it doesn’t extrapolate review which will be safe.
A - Eyal Desheh: Now what are you very well in the marketplace with some and again its with our independent security layer and with unified security architecture or biggest end our remote access capability list us all under the existing infrastructure and improving to be far of us and not only we’re winning ads up, or we’re seeing a lot replacement of existing infrastructure that people may have filed or referred but I think we’ll continue to see that.
Q - Ehud Eisenstein: Thank you very much, good luck.
A - Eyal Desheh: Thank you. You’re welcome.
Operator: Thank you. Your next question is from Alan Weinfeld of Kaufman Brothers.
Q - Alan Weinfeld: Could you guys elaborate on some of the transitioning in the consumer security mark businesses, Zone Labs is in some of the OEMs and I think maybe some ISPs and what kind of competitive environment we’re seeing there is actually pricing and just comments.
A - Eyal Desheh: Yeah, we’re on a very good year in the consumer business with very nice growth, the most of our sales are online but we’re increasing our presence both in the retail stores and our view and one of those large chains recently we can see a lot of Zone Alarm products displayed on the shelf there and we are selling very well. OEM relationship is going okay. But its also there would be part of our business and the MST channels something that we sort a few to penetrate in 2005 and I hope we’d be able to do more in 2006.
Q - Alan Weinfeld: Can you comment on Microsoft or Cisco…
A - Eyal Desheh: On Microsoft we can’t, we never underestimate Microsoft, I mean, its they’d made a lot of statements I don’t know if that we still see a lot of them right now selling in the market but the President is there and the Shwed is there and I think the impact is more of other players that are not at this point.
A - Gil Shwed: But yeah, leaving the claim the impact is more for us but just giving some insight of our lifting so far. If the vital ship product is mainly targeted to the most simple task, a very simple to use whereas our products are usually serving the power user so, it doesn’t means that Microsoft one-type exhibits small parts of regions that’s about consumers but it doesn’t mean that we have a lots room to expand and to maneuver using that large market that we are small player. And it does means that the main focus are of Microsoft at least the way it looks for us right now is not on where our core success and core strength is.
Q - Alan Weinfeld: Thank you.
Operator: Thank you. Your next question is from Jeff Englander of Americas Growth Capital.
Q - Jeffrey Englander: Hi, good morning and good afternoon. Could you talk a little bit about Sourcefire in the sense when you first announced the deal, it sounded like its going to be a pretty quick flows and that’s obviously extended out. Can you talk about use of the issues or maybe regulatory problems are running into, that’s causing the D-Link in that a little?
A - Eyal Desheh: First of all, lets straighten our constraint, when we now discuss, we said we expect to close by the end of Q1, or we’re just at the beginning of Q1 so that’s why the collective memory. We’re going to regular preview of US Government and we’re gone to this before and we’re answering questions and waiting for them to come back to us. We just find out through them and this takes time because of the dialog we delivered.
Q - Jeffrey Englander: Are you finding anything in particular that timing would be elaborate just as a general slow down and the approval process?
A - Gil Shwed: We are finding strategic issues that are dealing with the Government but I unfortunately, we can’t share those again we are, we think that there is no reason to expect many issues but like everything working with the Government it takes time and whereas we’ve seen all I don’t want to underestimate what is the difference.
Q - Jeffrey Englander: Can you talk about the in terms of the Sourcefire guidance how the closure of the deal might impact the amount in the numbers that since do you expect the Sourcefire year itself to be backend loaded because people are now considering your solution in addition to Sourcefire and basically maybe waiting for the deal to close to part this product?
A - Gil Shwed: No I don’t think it’s, no I don’t think its, its most of the resolution that we can look at that and we don’t see much slowdown in Sourcefire but it don’t think it given the impact of Sourcefire in Check Point and it’s the resolution that you can see and shift that R&D changes that we can predict right now.
Q - Jeffrey Englander: Great. Thank you very much.
A - Gil Shwed: Thank you.
A - Eyal Desheh: Thank you.
Operator: Thank you. Your next question is from Katherine Egbert of Jefferies.
Q - Katherine Egbert: Hi everyone, I’m wondering you could make a general comment about what you are seeing in terms of spending throughout the year, I had some sense that for a view of 2005 Q4 was by far the best quarter, if you’re chasing kind of a similar pattern in ’06?
A - Gil Shwed: Okay. Probably there is something we clearly see the factor in to be, every year we see the Q4 is the strongest quarter but we do see now that first we all working with many large projects and we’re in more of these large products are more backend loaded we did see generally within quarters and within years more shifting to be backend loaded so that now reflects or as displayed. And I think we’ve the growth of the markets that we are seeing its something we’ve said customers are not rushing today to spend, we are planning, we are, we do have the budgets, we do have the projects but its not, like Jerry said a very free spending environments when customers where just rushing through, to purchase more and more, starting with all translates to more and more backend loaded quarters and years.
Q - Katherine Egbert: Okay and then another question, as you integrate Sourcefire are you having some increase your direct sales fact offer at Sourcefire products themselves as well as to, for the integrated products to sell solution as you hire up your observation.
A - Gil Shwed: Not really, I mean with Sourcefire we do get to nice sales force within the tend lot of direct sell-through customers and we will does work with challenges as well so that’s a great answer to that once we complete the transaction we’ll also get into Check Point and we see people also help in selling additional technologies to the same accounts in the same region. We do intend to continue to invest in our sales organization and field organization some of which will come to the channel part and some of which will come to the named account part. Remember all the named account part was also work through the channel. So, in our case its very, we’ve avail a direct presence, we all work with the channel and mainly in most of our sales people also work with customers so the net effect is we are going to increase our investment in sales and we are going to add sales in the grounding overall even there in most location.
Q - Katherine Egbert: Okay. Thank you.
Operator: Thank you. Your next question is from Michael Turits of Prudential Equity Group.
Q - Michael Turits: Hi guys how are you? A Question on, do you find your 14% revenue growth in new Sourcefire and 10% EPS growth, at that point. Are you still expect Sourcefire to be flat, a few cents excluding and what are the other factors that you’re working in EPS calculations, tax rate share count and margins given.
A - Gil Shwed: I think we will be happy to share more details when we all know our Investor Day and we expect that to happen in Q2 and I think the net of everything you’ve seen is the number we’ve written, there’s many factors that end factor in so, again its $1.40 to $1.47, its very hard to say where you, wherever you gain or move $0.02 from that and you’re gaining and moved another $0.02 from something else and so on. That means there’s a lot of difference moving far and I think it will be pretty hard to break it up in a call like this with all the individual elements.
A - Eyal Desheh: Yeah, Michael just please remember that we are in Sourcefire business at the Check Point Sourcefire is not making, just moving into profitability so we’ll be adding partly similar amount of revenues, similar amount of expenses, so that they’ve got to offer, on the earnings per share its going to be negligible, over the, for we had an impact on the top line, because that’s why our target is big higher gross in top line then in our earnings per share.
Q - Michael Turits: So excluding this, excluding this acquisition cost pretty much its going to flatter, in longer terms the EPS impact of Sourcefire?
A - Gil Shwed: First of all again, the resolution of one of 270 has an impact of the interest that we generate on the cash flow conceded for Sourcefire I mean, it has an impact but on the other hand the values in terms of how would the Sourcefire results will be, and wherever, we tend to be flat, we turn into a great profit because the combined company can generate much more business together, its pretty high to predict this resolution. You dubbed the met force we, of course we seen….
Q - Michael Turits: Set it behind share counts or tax rates?
A - Eyal Desheh: Well share count is probably similar to where we are now and maybe a little lower and we face to continue our buyback program. Tax rates more or less the same, I don’t expect any changes.
Q - Michael Turits: You lost the fourth quarter.
A - Eyal Desheh: Yes.
Q - Michael Turits: Thanks a lot guys.
A - Eyal Desheh: You’re welcome.
Operator: Thank you, your last question is from Shaul Eyal of CIBC World Markets.
Q - Shaul Eyal: Thank you, hi, good afternoon guys. Couple of quick questions, Eyal the sell-through the Nokia channels, what would a, while the quarter from a percentage standpoint?
A - Eyal Desheh: Well, I think Nokia had a decent quarter.
A - Gil Shwed: As far as we don’t sell any products through the Nokia as a channel, so we can’t prove the Nokia channel was zero.
A - Eyal Desheh: Right, I think Nokia has a decent quarter, but remember that we, they are not selling our product, they sell the platform, we saw software it makes them the channel, what we’ve seen recently in terms of proportion is that there are more Check Point, a few platforms and limit space solution. So there’s proportionally the fee has a little lower than it used to be, is quite of Check Point gateway, deployed there on their platforms. But, I think the business is okay as the relationship with them is great, I think they are enthusiastic they have new products, new platform and they are enthusiastic to with us, all of us, Nokia and prior to the company, and number of parts of the company.
A - Gil Shwed: And there are things that, where is, by many, many of our channel partners.
Q - Shaul Eyal: Yes, got it, when does the old buyback reopen?
A - Eyal Desheh: Day after tomorrow I think.
Q - Shaul Eyal: Got it, and just can you, really maybe macro question form, do you kind of in rest of it, do you foresee ’05 in being some sort of an, an investment year, kind of where to be the rewards being relocated in ’06, ’07, is that the view or, I know that Check Point has been in the forefront of technology development. What’s your common view there?
A - Gil Shwed: I think every year we invest and every year we hope to see the result in future years, and so far if you’ve seen the trends, it looks very, very clear that ’03 and ’04 were investment years, and in ’05 we are clearly seen substantial results of our investment in ’03 and ’04, and wherever the growth accelerates much more in ’06, ’07 and ’08, that’s a good question and its very, very hard to answer I think we are building the different portfolio in building their customers stories and building the customer adoption and we hope that certain points, their market conditions then other trends we’ll call it the growth rates to be than higher its, but its very, but you should not see this is predictable rolls exact reflection points in the marketplace, upwards or downwards.
Q - Shaul Eyal: All right thank you very much and good luck.
A - Eyal Desheh: All right, well thank you very much everyone for your participation in our conference call, hope to see all of you at our Investor’s Day which we expect to hold in the second quarter, if you want to speak to management or to our Investor Relations following this call, please call our Investor Relation department, at phone numbers 650-628-2050 or we are happy to take your calls and return them. Thank you very much and we’ll talk to you soon.
A - Gil Shwed: Thank you.
A - Jerry Ungerman: Thank you.
Operator: Thank you, this does conclude today’s teleconference you may now disconnect your line, and have a wonderful day.